Operator: Welcome to MasterBrand's First Quarter 2023 Earnings Conference Call. During the company's prepared remarks, all participants will be in a listen-only mode. Following managements closing remarks, callers are invited to participate in question-and-answer session. Please note that this conference call is being recorded. I would now like to turn the call over to Farand Pawlak, Vice President of Investor Relations and Corporate Communications. Please go ahead.
Farand Pawlak: Thank you, and good afternoon. We appreciate you joining us here on today's call. With me on the call today are Dave Banyard, President and Chief Executive Officer; and Andi Simon, Executive Vice President and Chief Financial Officer. We issued a press release earlier this afternoon disclosing our first quarter 2023 financial results. If you do not have this document, it is available on the Investors Section of our website at masterbrand.com. I would like to remind you that this call will include forward-looking statements in either our prepared remarks or the associated question-and-answer session. Each forward-looking statement contained in this call is based on our current expectations and market outlook and is subject to certain risks and uncertainties that may cause actual results to differ materially from those currently anticipated. Additional information regarding these factors appear in the section entitled Forward-Looking Statements in the press release we issued today. More information about risks can be found under the heading Risk Factors on our Form 10-K and other filings with the SEC which are available at sec.gov and masterbrand.com. These forward-looking statements in this call speak only as of today and the company does not undertake any obligation to update or revise any of these statements except as required by law. Today's discussion includes certain non-GAAP financial measures. Please refer to the reconciliation tables which are in the press release issued earlier this afternoon and are also available at sec.gov and at masterbrand.com. Our prepared remarks today will include a business update from Dave followed by a discussion of our first quarter 2023 financial results from Andi along with our current 2023 financial outlook. Finally, Dave will make some closing remarks before we host a question-and-answer session. With that, let me turn the call over to Dave.
Dave Banyard: Thanks, Farand. Good afternoon, everyone and thank you for joining us here today on our first quarter 2023 earnings conference call. MasterBrand delivered another strong quarter. Net sales performance in the first quarter was slightly higher than our internal estimates and we delivered higher adjusted EBITDA and adjusted EBITDA margin year-over-year despite the lower net sales. As the quarter developed, our customers that serve the new construction market performed better than expected, particularly in March. Following our last earnings call, lower mortgage rates appear to have incentivized home buyers back into the market. And single-family completions bolstered our end market demand. I'll spend some more time discussing the market later in the call, but we were happy to see the improvements in that portion of our market this quarter. The team delivered strong results with $82 million of adjusted EBITDA, an increase compared to the first quarter of last year. Adjusted EBITDA margin expanded a healthy 160 basis points to 12%. Our margin performance was driven by solid execution on our continuous improvement and strategic initiatives and by a lower fixed cost structure from actions taken in 2022. While we report year-over-year information, it's helpful to look at our sequential performance this quarter to isolate operational improvements from the variation created by price and inflation in our P&L. On a net sales decrease of $108 million from the fourth quarter of 2022 to the first quarter of 2023, our adjusted EBITDA declined only $16 million. This is a decremental margin of approximately 15%. Both quarters include some discrete operational charges that are relatively the same size. So with the exception of some holidays the quarters are comparable. I'm extremely pleased at how well the team is operating. This favorable decremental margin highlights the impact of our continuous improvement efforts and strategic initiatives. These strategic initiatives not only reduce costs in our factory network and supply chain, but also build resiliency. Our previous Align-to-Grow work allowed us to seamlessly manage the impact of an unplanned weather event in the quarter. As I mentioned during our last earnings call, our Jackson Georgia plant sustained damage from a tornado in January and ended up being out of service through the end of the quarter. None of our customers felt the impact of that downtime, as we were able to shift production to other locations and maintain strong service levels for our partners. While we incurred significant costs that we expect to recover from insurance in the coming months, we absorbed those costs within the quarter and still grew our adjusted EBITDA year-over-year. It's important to highlight that we have an effective manufacturing model that even in the face of significant unplanned downtime can deliver outstanding results for our customers, associates and shareholders. Without the additional cost of the plant shutdown, our sequential decremental EBITDA would have been even better than the 15% that I just highlighted. Given our demonstrated operational performance and stronger-than-anticipated financial results, we are raising our full year 2023 adjusted EBITDA outlook. I'll let Andi provide you with more financial details later. But first, I'd like to share more insight on what we saw in our end markets this quarter and how we see the remainder of the year. Our customers that serve the new construction market performed better than anticipated in the first quarter. For our large publicly traded customers, you're hearing this directly from them as well. Additionally, we believe we saw better performance in the new construction market due to our strategic initiatives and the product portfolio decisions we made last year. The strength of our Align-to-Grow initiative is that it enables us to focus on the right parts of the market, the right customers with the right products at optimal service levels. Recognizing that we were entering a challenging cost environment for our customers, we launched new products, specifically targeting production builders. This allowed these customers to meet their cost point, while not sacrificing the profitability of our business, a true win-win. These actions yielded great results as production builders performed well and held up better than other parts of the new construction market, like custom homebuilders. We aim for the right spot and have the right product to serve them. Decisions like this require trade-offs and we consciously walked away from other areas of business as a result. It's important to remember our goal isn't to chase margin-dilutive business for the sake of volume. Our Align-to-Grow initiative is focused on winning in the best growth areas of the market both for the top and bottom-line. We are cautiously optimistic about the pace of the new construction market for the remainder of the year, although we are still worried of the economic environment and the impact of reduced starts on the second half of the year. Turning to the repair and remodel market. We serve this market through our dealer and retail customers and the dynamics were a little different between these two in the first quarter. Our business with dealer customers has been steady throughout the last three quarters. But since our lead-times have greatly improved from a year ago and our backlog is down to normal levels, we are entering a period of very difficult comparable net sales over the next two quarters. Despite that gap, we are confident that our product portfolio and flexible factory network will put us in a good position to continue to deliver strong results and we expect to see a continued steady pace in this market for the remainder of the year. In our retail channels, POS remained steady throughout the quarter. However, we saw it slowing slightly on a sequential basis towards the tail end of the first quarter and into April. Our retail partners have been reacting to this with a very controlled inventory reduction over the past several months. So, our sell-in was lower in the first quarter than POS. We expected this in our initial 2023 guidance and as such we continue to work closely with these partners to manage the pace of sell-in to ensure that they are well-stocked and that we are running our plants at the appropriate pace. Due to this sell-in dynamic, we expect this portion of the market to continue to be challenged in the first half of the year and we'll continue to monitor sales through this channel in the second half. Many investors continue to ask us about the impact of imports. So, I thought I'd provide a little more detail on that part of the market. We compete against importers and stock kitchen cabinets sold through retailers and dealers as well as bath vanities, sold mainly through retailers and e-commerce. We've spoken about our success competing against kitchen imports in the past. We successfully countered the threat of imports three years ago with the introduction of our Mantra brand. At the time, we identified a gap in our product offering, benchmark the import model, and created our own solid wood quick shift cabinet for the domestic market. Utilizing our industry-leading distribution network and scale, we've been able to outcompete imports and grow Mantra into an over $150 million business through 2022. This product category continues to outpace the market growing strong double-digits year-over-year in the first quarter. Bath vanities differ from kitchen cabinets and that they can be fully assembled abroad and shipped into the domestic market. As part of our Align-to-Grow initiative, we reviewed our bath portfolio and identified products that can help us improve our vanity offering. In 2022, we believe we took some share from imports in bath vanities as ocean freight costs and shipping delays improved our competitive position despite having product gaps. As ocean freight costs have come down we are focused on broadening our product offering to maintain our competitive advantage. We are no stranger to winning against imports. Utilizing the proven tools of our business system, new product offerings in the near future, and our strong channel coverage including a number one position at a very large e-tailer that I mentioned last quarter, we believe we should not only be able to maintain but take share against bath imports the same way Mantra did it against kitchen imports. As you can see our end markets were dynamic in the first quarter. With March's net sales pace continuing through April, fewer holidays, and some slight seasonality expected, we anticipate net sales being slightly higher sequentially in the second quarter. However, we are still cautious about the general conditions going into the second half of 2023 and this uncertainty is reflected in our updated outlook. Regardless of the market conditions, we remain confident in our ability to deliver strong decremental margins and make progress on our strategic initiatives. I spoke at length about Align-to-Grow today to illustrate the point that our initiatives are not just about cost takeout they are about growing and differentiating the business as well. We continue to make similar progress in Lead through Lean and Tech Enabled, with the understanding that all three of our strategic initiatives will impact every aspect of our business performance going forward. Investments in these strategic initiatives, along with other investments in the business, will be funded with our strong cash flow generated from operations. During the first quarter, we generated over $60 million in cash from operations as we benefited from steps taken to improve working capital efficiency. This, along with our strong operational performance and improved financial outlook, give our management team and Board of Directors confidence that we could begin to directly return value to shareholders. Accordingly in April, the Board of Directors approved a new share repurchase program, which authorizes us to purchase up to $50 million of the company's outstanding common stock. This authorization represents the continued refinement of our cash deployment priorities, which I introduced at last December's Investor Day. Our first priority remains unchanged, to invest in the business specifically in high-return areas like those from our Tech Enabled initiative. Our next priority remains paying down debt. We have a strong balance sheet and we aim to maintain it. So you will see us work to pay down debt in 2023. Lastly with the approval of this new plan in place, we will directly return value to shareholders through share repurchases. At a minimum, we would expect our purchases to offset the dilutive impact of stock compensation. Given our current valuation we also believe our stock is undervalued and represents an appealing investment. So we'll balance our investment in the business, debt paydown and share repurchase appropriately as we move forward. One item I did not mention is M&A. M&A will be a tool in our toolkit and we are in the early stages of developing a strategic funnel of targets. We will be very disciplined in our approach to deploying capital in this arena and we'll take the appropriate amount of time to develop our M&A strategy as we study the landscape further. So as you can see a strong quarter given the macroeconomic backdrop and a lot of progress made on our initiatives to deliver on our long-term growth targets. With that I'll hand it over to Andi for a deeper look at our first quarter financials and our revised 2023 outlook. Andi? 
Andi Simon: Thanks, Dave and good afternoon, everyone. It's great to be joining you here today. I'll begin with an overview of our first quarter financial results and then I'll discuss our updated 2023 outlook. First quarter net sales were $676.7 million a 12.9% decline compared to $777.1 million in the same period last year due to expected volume declines in the market partially offset by higher net average selling price or ASP primarily driven by previously implemented price. Gross profit was $204.6 million in the quarter down 3% compared to $211 million in the first quarter of last year. However, gross profit margin expanded 300 basis points year-over-year from 27.2% to 30.2%. The margin expansion was driven by higher net ASP, savings from our continuous improvement strategic initiatives and proactive restructuring actions in 2022. If you recall last year we anticipated a softer environment and acted promptly by taking three facilities offline. Our restructuring-related savings are tracking as anticipated year-to-date with an expected savings of roughly $5 million per quarter in 2023. Also important to mention as Dave highlighted this performance includes the expenses from our Jackson Georgia facility being closed for more than two months due to a tornado. We anticipate insurance proceeds to largely offset this expense for the full year resulting in no material impact for 2023. Selling, general and administrative expenses were $135.3 million 6.8% lower compared to the same period last year. As discussed before, we were allocated a portion of Fortune Brands Home & Security costs in 2022, but that allocation is now gone. Instead, we have standalone costs. But if you compare the impact of the two it is a net savings year-over-year in 2023. We delivered net income of $35 million in the first quarter compared to $46.9 million in the comparable period last year. The decrease was driven by interest expense of $17.4 million related to debt necessary to fund the dividend to Fortune Brands at the time of the spin. In 2022, we did not have any external debt assigned to our balance sheet and therefore there was no external interest expense in our earnings. Diluted earnings per share were $0.27 in the first quarter down from a pro forma diluted earnings per share of $0.37 in the first quarter last year. It is important to note that prior year pro forma diluted earnings per share is calculated using 128 million shares outstanding as under US GAAP it is assumed that there were no dilutive equity instruments prior to separation as there were no equity awards of NBC outstanding. This drop in diluted earnings per share was driven by our lower net income which again is down year-over-year due to interest expense. Adjusted EBITDA was $81.5 million in the first quarter an increase of 0.9% compared to $80.8 million in the same period last year despite lower volumes. Adjusted EBITDA margin expanded 160 basis points to 12% compared to 10.4% in the comparable period of the prior year due to higher net ASP, savings from our continuous improvement, strategic initiatives and proactive restructuring actions in 2022. Consistent with last quarter, our definition of adjusted EBITDA includes estimated net cost savings as a standalone company and excludes separation costs restructuring charges and restructuring-related items, asset impairment charges and defined benefit actuarial gains and losses. Turning to the balance sheet. Our balance sheet remains strong with cash on hand of $116.3 million and $300 million of liquidity available on our revolver. Net debt at the quarter end was $823.3 million resulting in a net debt to adjusted EBITDA leverage ratio of two times down slightly from the prior quarter end. First quarter operating cash flow was $62.1 million compared to cash used of $2.9 million in the comparable period last year. This significant year-on-year improvement in operating cash flow is a result of the execution of our working capital improvement plans, as well as strong operational performance. In particular, we are seeing the benefits of our inventory reduction actions, which were in excess of $20 million in the quarter and we expect to continue to improve our working capital, as the year progresses. Capital expenditures in the quarter were $2.9 million. We are still on track to spend our target amount of $50 million to $60 million in 2023. While the first quarter spending was lower than the annualized run rate, our projects are on track. The lower spending is simply due to timing of cash outflow. As a result, free cash flow was $59.2 million compared to $13.9 million of cash usage in the first quarter of last year. This is a $73.1 million improvement year-over-year. We continue to expect free cash flow in excess of net income for 2023. Our exceptional cash flow performance gives us confidence in our ability to begin returning cash to shareholders through a share repurchase program, while also paying down our debt and continuing to invest in our business. As a result, MasterBrand's Board of Directors approved the share repurchase program, which Dave spoke about earlier in this presentation. Please refer to our earnings release for more details on this program. Turning to our outlook. We delivered first quarter net sales that were higher than our expectations. But as Dave discussed, uncertainty remains in our end markets, particularly in the second half of 2023. With that in mind, we continue to expect our 2023 net sales to be down mid-teens year-over-year. While the macroeconomic environment remains dynamic, we feel confident in our ability to consistently execute in any market condition. Given our net sales expectations, our strong operational execution and margin outperformance in the first quarter and our continued strategic investments, we are raising our adjusted EBITDA outlook range to $315 million to $345 million, a $10 million increase at the midpoint compared to our prior outlook. On this updated range, we now expect adjusted EBITDA margins to roughly 11.5% to 12.5% for 2023, 50 basis points higher. We continue to proactively execute on pricing strategies, supply chain improvements, cost controls and continuous improvement initiatives in order to preserve our margins in the softer market. We delivered strong decremental margin performance this quarter, and believe we can do so for the remainder of 2023. We expect interest expense to be approximately $70 million to $75 million, primarily related to our $939.6 million of balance sheet debt. We now anticipate our tax rate will be slightly above 26%, as we resolve final spin related matters. As discussed on our last quarter earnings call, we will not be providing quarter-by-quarter guidance for the year. However, because this is our first year as a stand-alone company, we want to help you understand the quarterly flow we anticipate for 2023. Given the strength in the first quarter, we expect to see a slight net sales step-up sequentially in the second quarter with sequential declines in both the third and the fourth quarter. This seasonality reflects the historically strong construction season in the second and third quarters. Keep in mind, you will see a larger year-over-year revenue gap in the second and third quarters of 2023, as those same periods in 2022 benefited from a higher backlog that we were working through at the time. In terms of margin, we expect EBITDA margins to follow a similar sequential trajectory to our net sales through the remainder of the year, noting that we have planned strategic investments throughout the remaining three quarters. The team's use of the proven tools from our business system The MasterBrand Way delivered exceptional performance in the first quarter of 2023. We will continue to execute at a high level throughout the remainder of the year and feel confident in our ability to deliver our updated 2023 outlook. With that, I would like to turn the call back to Dave.
Dave Banyard: Thanks, Andi. In summary, we're very pleased with our performance. In our first full quarter as a stand-alone public company, our associates operated at an extremely high level and delivered year-on-year adjusted EBITDA growth and adjusted EBITDA margin improvements. The team's prior work on our strategic initiatives, Align-to-Grow, Lead through Lean and Tech Enabled are helping drive these strong results. We are prepared for a challenging market environment, particularly in the second half of 2023, and feel that we can manage through any near-term market challenges. At the same time, the team continues to work on strategic initiatives and invest in the business, using our exceptionally strong cash flow from operations. We believe in the strong long-term fundamentals of the US housing market and our strategic initiatives position us to capitalize on this market and achieve our long-term growth targets. Lastly, we appreciate your continued interest in MasterBrand. To learn more about the company, our strategic initiatives and an update on our ESG journey, I'd encourage you to look at our first annual report, which is posted on our Investor Relations website. Now with that, I'll open the call up to Q&A.
Operator: Thank you. [Operator Instructions]. Our first question comes from Adam Baumgarten with Zelman. Please proceed with your question.
Adam Baumgarten: Hi, guys. Thanks for taking my questions. I guess just back to the quarterly result here a lot stronger than expected, although, you guys did give an outlook with about just three weeks left in the quarter. So was it the new construction side that really surprised you in March? Is that the way to think about that? 
Dave Banyard : Yes. Thanks, Adam. First of all, I would say, it wasn't wildly better than we thought, but I think we did do some incrementally better results than what we thought both on the top and bottom line, but it was not wildly different. So I just want to make sure that's clear. But yes, the incremental improvement that we saw was mostly in March, and mostly in the single-family new construction and that carried into Q2 as well. 
Adam Baumgarten: Okay. Got it. Makes sense. And then I guess just on the outlook for the second half. Is that just based on sort of the broader macro concerns, or are you seeing order trends in your business that are kind of pointing towards a slowdown in the back half? 
Dave Banyard : Yes. It's -- I'd say, it's more on the macro side, and I'll speak in a couple of different buckets. I think first and foremost, the way we're pacing right now, as we highlighted in the prepared remarks, we had a pretty big gap in the second and third quarter just because of the backlog that we had last year. So that's there and that's still there. In terms of the second half specifically, I think the primary concerns are twofold. One when it comes to new construction starts have started to tick up, but they're not reaching the level that completions are at right now. And so at some point either you have to start more houses or the whole market pace starts to reduce. So that looks like tail end of third quarter maybe fourth quarter if that's going to happen this year. So our models say that with the uptick that we've seen recently in starts that's good. But with the -- you put the backdrop of the macroeconomics around that and sort of say well is that really going to hold up? And at what point does that run out of gas? So it's -- I think there's just too many larger picture things that are unclear right now in terms of the state of the economy. It's hard to say, definitively that whatever model you're using that's using historical data to predict can really tell what's going to happen that far out. So that's on the new construction side. Along the -- along -- the part around the R&R portion of the market, I think that's going to go the way consumer spending goes. And I think that while it's been very steady, I think we highlighted both in the dealer network as well as in the retail network. Sequentially things are very steady. But if the consumer starts getting more and more pressure, as the year goes on because of macroeconomics around us I don't know that that continues. So I think we've just baked some of that in with our initial forecast or initial outlook that we provided you last quarter. And we just felt like we haven't learned enough new information to change that.
Adam Baumgarten: Okay. Got it. And then just last one for me. On the selling underperforming point of sale. It sounded like you were expecting that. Was that -- is that now worse than you maybe initially thought a couple of months ago? 
Dave Banyard : No, it's about what we expected. Again, we work closely with those partners. I think if you look year-over-year, there is some deceleration there. We were seeing a steady stream of POS, but we were in conversations with them about their inventory levels. And it's been very controlled. We didn't have -- I think, if you look at a lot of other building products particularly a little more of the point of sale sort of transactional type products, those destockings occurred more last year. We didn't experience that as much. What we knew it was coming as the market sort of normalized I would say. So, I would say, our post-COVID normalization of inventory is early days with them that started in the first quarter. We knew that was coming. The question is just how long does it go on and that's going to be a factor of how does POS hold up. So far it's kind of driving forward on the script that we thought it would which is good. But question marks again back to my comments around the consumer.
Adam Baumgarten: Okay. Makes sense. Best of luck.
Dave Banyard : Thanks, Adam.
Operator: Our next question comes from Garik Shmois with Loop Capital Markets. Please proceed with your question.
Garik Shmois : Hi. Thanks. Congrats on the quarter. I wanted to ask a little bit more just around the margin performance in 1Q. I don't know if you could itemize perhaps how much was the restructuring savings? How much was the benefit from the strategic initiatives? How much is higher pricing, or just maybe give directional clues. 
Andi Simon: Yes, sure. So, I mean, really high level that adjusted EBITDA was really quarter-on-quarter. Price nearly offset the volume impact, which was fantastic. And I think in our last call we mentioned that we would have stronger churn over price in the first quarter. And then from a cost inflation perspective, our actions and our CI pretty much offset inflation in our Jackson facility costs being down. So CI we're still running on pace to our estimate of approximately $40 million for the year. We have $80 million identified in the pipeline, which we mentioned and we are on track. With respect to the 2022 actions, it's about $5 million a quarter of savings that will occur – incur in 2023 and we are on track for that as well.
Garik Shmois: Great. Thanks for that. I wanted to ask just a follow-up just on the margin progression from here. You've indicated, I guess directionally how to think about EBITDA margins in conjunction with how sales are expected to track the next several quarters. Wondering maybe if you could speak to decremental margins. You had outperformed your targets in the first quarter and maybe provide a little bit more context on how to think about that moving forward?
Dave Banyard: Yes, Garik, I'd go back to – I think we're going to stick with the way we've described it on our last earnings call, which is that we're aiming to be better than 20% on the decremental side and then better than 20% on the incremental side. So – if you look at sequentially how we performed in the quarter, I think that's a good example of that. I think if you look out quarter-by-quarter, Q3 is probably the one quarter where we had pretty good revenue, pretty good margin. That's going to be the toughest quarter. But I think we're going to – we're aiming around that 20% – better than 20% decrementals and better than 20% incrementals throughout the year. So that's about as specific as we're going to go on but that's generally we're on track for that.
Garik Shmois: Okay. That's fair. Last question is just a follow-up on the new residential piece. The strength that you saw towards the tail end of the quarter, do you think more of a function of the market being stronger, or is it a function of some of the wins that you mentioned with the production? I'm just trying to figure out is it the market or is it some of the – maybe some of the share gains that you've demonstrated.
Dave Banyard: Yes. It's a combination of things. Certainly, the products that we introduced are hitting the mark and people are excited about them and that's driving some good uptick. The – there is a dynamic. I will say that our – when we serve the new construction market through a dealer network, there is some inventory in that network. And so there's a period of time where you're destocking that inventory and we're well past that now. But that happened in the late part of Q4 and into Q1. And so the timing of that happened quicker a little bit. So that was – got us back to on pace for what the builders are building. And then builders are building houses faster. They're – I think they've got a lot of confidence around building spec homes because the dynamic in the market today as you well know is there are no existing homes for sale. So the only thing that's on the market are new homes. And if people don't want to wait, they have to buy a spec home. And I think builders have figured that out and are willing to take the risk of building more spec homes than what we were seeing before and I should say, the ones that did benefited from that. And so I think that's becoming more the norm. Does that run out of steam? I don't know yet, but I think that's right now, particularly in the hotter markets, the Southeast of the US, east of the Mississippi. If you want to buy a house, your choices are pretty thin except for a decent chance you're going to be buying a house that was recently built even though you didn't order it in a custom land. And so I think all those things combined have given that little extra gas coming through tail end of Q1. 
Garik Shmois: Sounds good. Thanks, again.
Dave Banyard: Thanks, Garik.
Operator: [Operator Instructions] Our next question comes from [indiscernible] Bank of America. Please proceed with your question.
Unidentified Analyst: Hi, good afternoon. Thanks for taking my question. Just the cash flow conversion was really strong in the quarter. Can you just talk about the drivers of the improvement there versus historical levels? And how do we think about that going forward? 
Dave Banyard: Yes. Thanks, Chris [ph]. Really strong results from the team operationally on taking out inventory and working on working capital throughout the quarter. So just really good operational results there drove a lot of that. I will highlight that CapEx was low. But I think if you put a normalized CapEx number, it's still really good cash flow in the quarter. So it's really just excellent operational performance by the team throughout the quarter and delivering on the working capital initiatives that we have to take that back out of our balance sheet.
Unidentified Analyst: Thank you. And then on the price/cost outlook. Can you talk about what you're seeing -- what you saw in the quarter for hardwood number-- hardwood prices -- like your expectation is, and then how do you expect that to flow through COGS going forward?
Dave Banyard: Sure. I think the overall thing I'd say about cost in general is sequentially, the costs are starting to come down but we still have a pretty long way to go until we're what I'd say pre-COVID, kind of, cost level. So prices are coming down but I'd say that's most sequentially. Year-over-year we still are experiencing some inflation in certain categories. Plus like I said like we mentioned on the last earnings call, we do have inventory that's at that higher price. But again the good thing is as you work through your inventory quicker you get past that faster. So I think good signs ahead. But again there's other cost baskets that have not come down as quickly as we'd like. So we're continuing to work on that. It's a big part of our initiatives this year is to make sure we're paying the right price for things. Just like many of our competitors are and many of our customers are. So it's -- there's a lot of work ahead but I think we are seeing a trajectory where perhaps the market will start easing up a bit. 
Unidentified Analyst: And then the final question. Just how do you think about pricing and discounts and rebates going forward? The dealer network is destocking, you said POS has softened up a bit. Have you seen pricing and rebates holding?
Dave Banyard: Yeah. I mean, I look at prices. First of all I think it's a core piece of the Align to Grow initiative within our strategy. Price is a huge part of that. And really what we try to do is focus on what the customer or the consumer needs, which is a -- they're thinking about it from a cost perspective. And a lot of what we do is get those customers and those consumers into a product that they -- that fits their cost structure. Obviously price is a lever within that and there's going to be situations where you have to discount or there's a volume related to it perhaps wanted discount from a competitive standpoint. But generally speaking what you're seeing from us is migrating customers to the right product that we're both happy. And so it's not a chase volume by dropping price, it's get the customer into the cost structure that they're looking for from the particular products that you're selling to. And that's a big focus of Align to Grow. And that's how -- if you look back at our price performance over the past couple of years and the way we intend to continue to act is we're going to be leaders in that. We're going to be leaders in understanding what the market price should be and putting the right products in that price bucket and selling those. So it's a huge part of what we talk about. Every time we're analyzing a different portion of the market or a different customer set with the products that we have.
Unidentified Analyst: Okay, great. Thank you.
Operator: We have reached the end of our question-and-answer session, and I would now like to turn the floor back over to Farand Pawlak.
Farand Pawlak: Thank you, operator and thank you all for joining us here today. We appreciate your interest and continued support. We look forward to speaking with you in the future. This concludes our call. Operator?
Operator: This concludes the MasterBrand first quarter 2023 earnings conference call. To access the telephone replay please dial 877-660-6853 or 201-612-7415 and enter ID 13737805. Thank you for your participation. You may disconnect your lines at this time.